Operator: Hello and welcome to the Electrovaya’s Fourth Quarter and Year-End 2021 Financial Results Analysts Conference Call. At this time all participants are in a listen-only mode. a question-and-answer session will follow the formal presentation. As a reminder this conference is being recorded. It is now my pleasure to turn the call over to Richard Halka, Executive Vice President and CFO for Electrovaya. Please go ahead, sir.
Richard Halka: Thank you very much, Kevin. Good morning everyone and thank you for joining us on today's conference call to discuss Electrovaya's Q4 and fiscal 2021 financial results. Today's call is being hosted by Dr. Sankar Das Gupta, CEO of Electrovaya and myself, Richard Halka, Executive Vice President and CFO.  On December 20, 2021, Electrovaya issued a press release concerning its business highlights, financial results for the three and 12-month period ended September 30, 2021. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements, management discussion and analysis, and annual information form or AIF you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to normal provisions related to forward-looking information. We will provide information relating to our current views regarding trends in our markets, including their size and potential for growth, and our competitive position in our target markets. Although, we believe that the expectations reflected in such forward-looking statements are reasonable, such statements involve risks and uncertainties and actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions apply to making forward-looking statements may be found in the company's press release announcing the fiscal 2021 annual and fourth quarter results, and the most recent AIF and management's discussion and analysis under risks and uncertainties, as well as in our other public disclosure documents filed with Canadian Securities Regulatory Authorities. Also please note that all the numbers discussed on this call are in U.S. dollars unless otherwise noted. And now I'd like to turn the call over to Dr. Sankar Das Gupta. Sankar?
Sankar Das Gupta: Thank you Richard and good morning everyone. I'd like to start this morning and highlight some of Electrovaya’s initiatives and our progress. We had revenues of about Canadian 14.8 million or U.S. 11.6 million which is excellent considering that a new OEM corporate sales team took over the OEM sales space from our earlier OEM distribution team. And there was always a learning time gap between the two teams building new websites, training new sales, and marketing teams. Ultimately we believe the corporate team has more resources with higher reach and will do much better. Furthermore, the chip and component shortage in the auto industry and COVID also impacted our revenues.  In the coming year we are expecting our sales revenue to more than double to about U.S. dollars 27 million or Canadian 34 million. The revenue is anticipated to be generated from both direct sales and OEM sales. The OEM strategic supply agreement has an exclusivity provision which is triggered Starting 1st January, 2022 where the OEM must make annual purchases of over U.S. 15 million to maintain exclusivity and we believe they will be able to maintain their exclusivity. The users of our batteries are a wide and diverse group including groceries, eat, retailers, manufacturers, logistics, hardware stores, distribution centers amongst others and the market is expanding and emerging.  Our second significant item this year was on financing. We had applied for a base shelf of U.S. 100 million which allows flexible financing. We have extended our working capital line and our two principal promissory notes. Richard will explain more of our financial highlights later. Technically we believe the most important advantage Electrovaya has over our competition is a truly exceptional battery with industry leading safety and longevity. Our battery cycle life and safety are critical differentiators for us. We believe they are game changers and fundamental to our current and future success.  Safety is the key important technological differentiator as OEMs in recent years have major vehicle recalls due to battery safety incidents all costing several billions of dollars. Unsaved batteries in electric mobility are expensive to recall. The longevity of our battery is industry leading and we have named this line as our Infinity Battery product line. This Infinity Battery product line meets the demand from commercial users who not only needs the safest battery, but also the lowest cost on a holistic basis. Our infinity line fulfills both these requirements. We believe commercial electric mobility applications such as electric materials handling vehicles, electric buses, and electric trucks needs the safety and longevity performance of the Electrovaya battery. I will now turn the call over to Richard to review our fiscal 2021 and fourth quarter results in greater detail. Richard.
Richard Halka: Thank you Sankar. Revenue for Q4 fiscal year 2021 was $4.2 million compared to $6.9 million for Q4 2020. But it increased significantly compared to $1.9 million for Q3 2021. It was our strongest quarter of the year. Revenue for fiscal year 2021 was 11.6 million compared to 14.5 million for fiscal year 2020. The year-over-year decline was primarily due to a reduced order volume resulting from a transition to the OEM supply agreement as Sankar has mentioned. This agreement brought new sales and corporate teams. Management believes the sales cycle is relatively long for these customers. There was continued disruption in the supply chain, as well as component shortages as Sankar has discussed. We are encouraged by the strong quarterly sequential growth and believe the situation has improved moving into 2021. We're receiving strong indications from our major customers that our order volumes will increase.  Our gross margin for fiscal year 2021 was 34%, which was consistent with fiscal year 2020. Our objective is to maintain gross margin in the range of 30% to 35%. Our margin varies with a number of factors including the product mix, special customer pricing, material costs, shipping costs, foreign exchange movement. In the current fiscal year there's been an increase in the price of some components, most significantly the cost of steel, which has recently stabilized which impacts the cost of battery enclosures. However, this was offset by pricing adjustments due to the increase in our energy density. This allowed us to maintain the margins at the same level.  The company's financial position improved in in fiscal year 2021 as of September 30th, current assets were 12 million, an increase of 4 million over fiscal year 2020. Current liabilities were 13.5 million, a decrease of 3 million for fiscal year 2020. The equity deficiency was negative 1.7 million, a reduction of 7 million over the fiscal year-end 2020. As Sankar has also mentioned in December 2021, the company filed a base shelf prospectus. The base shelf prospectus is valid for 25-month period, and permits the offering of debt and securities for up to a total of $100 million by filing supplements to the shelf thereby fast tracking as opposed to a normal prospectus. We also extended our working capital facility and promissory notes which were falling due on December 31, 2021. The 7 million working capital facility was extended for a year to December 31, 2022. The 6 million promissory note was extended to July 1, 2020 [ph].  The company has provided our anticipated revenue for fiscal year 2022 of 27 million. We're encouraged by the strong indicators we've received from our major customers. As in past years, we expect that Q1 on fiscal 2021 will be a sequential drop from fiscal year -- from the fiscal Q4 2021 as our major customers wish to push deliveries after their busy season of late November and December and into the New Year. However, after that we expect a strong traction in our sales through the year. I would now like to turn the call back to Sankar to wrap up.
Sankar Das Gupta: Thank you, Richard. I will touch on our next -- little bit on our next generation research work being done at Electrovaya labs. As mentioned earlier, our infinity battery line is focused on the commercial vehicles, who demands highest safety and lowest holistic costs without compromising energy and power. And we are making good progress there and moving to a leadership position for the emerging lithium ion powered material handling vehicles. And we are finding that our customer base is now becoming large and diverse we believe there will be growing demand for our batteries in electric buses and electric trucks, and this market will emerge once the various financing legislation is in place in both USA and Canada. Again, we believe safety and longevity are the two most important performance parameters in this commercial transportation space. For electric cars, however, the consumer demand is for the lowest sticker price.  So Electrovaya is developing two major disruptive technologies in this lithium ion battery space. The first disruptive technology is the solid state battery. The solid state battery has conceptually the highest energy density and possibly the lowest cost battery approach. Electrovaya understands solid state batteries and making good experimental progress in filing many patents in this sector. We had announced some of our initial coin cell results, where we showed cells demonstrating nearly no capacity fades after at 80 deep charge and deep discharge cycles. This experimental work is done through our Electrovaya labs division.  The second disruptive technology being developed at Electrovaya labs is to commercialize our patented novel electrode production process, which has the possibility of causing disruption in the standard lithium ion cell production. The standard lithium ion electrode and cell production process is expensive, processes uses massive quantities of toxic solvents, and the electrode microstructure suffers from tight [ph] boundary restriction, that is what is the conventional process. The Electrovaya disruptive patented electrode making process does not use toxic solvents, is inexpensive to operate, and creates superior electrodes with superior micro structures.  On our capital markets initiatives in Canada and United States, we have added certain advisors, and both the management and the Board of Directors are carefully monitoring the capital markets before a decision is made regarding the next steps towards a potential listing on the NASDAQ Stock Exchange. That concludes our remarks this morning. Richard and I would now be pleased to hold a question-and-answer session. So Kevin, please open the line for questions.
Operator: [Operator Instructions]. Our first question today is coming from Jeffrey Campbell from Alliance Global Partners. Your line is now live. 
Jeffrey Campbell: Good morning and congratulations on the quarter. Addressing your standard cell process and innovations that you just discussed, I'm just wondering what's the plan here, is this something that you might license to others or will this remain an in house advantage?
Sankar Das Gupta: Up to -- presently at Electrovaya labs we're running -- we believe this is a very disruptive technology and we will do both. We will produce it in house and we will also look at licensing the technology.
Jeffrey Campbell: Okay, great. Thank you. Sankar, now the direct sales channel is largely concentrated on the Canadian market, I wondered if any of your large multinational customers in Canada have discussed bringing Electrovaya batteries to any of their operations in the United States?
Sankar Das Gupta: We are actually -- Jeffrey, our direct sales team is also based in the U.S. We have folks in the Southern part of U.S., we have folks around the Central Chicago area. And we are making good progress in direct sales. And I would think our direct sales in the U.S. might be an order of magnitude larger than our direct sales in Canada.
Richard Halka: Morning, Jeffrey, it's Richard. Richard here, I just want to add something. And thanks for -- thanks for joining the call Jeffrey. When we look at it, it's kind of skewed because we have a couple of very significant customers in Canada that the volume of orders is low, but the value per order is high, for example, Walmart. Well, in the U.S. we have quite a high number of orders in but the values are somewhat lower because these customers are getting acquainted with the product, they tend to put in initial orders that are smaller, let's say anywhere from 5 to 20 units as they test and trial the product. And then once they're comfortable, they will then order for an entire warehouse or distribution center. So we feel quite encouraged that we'll call them the level of seed orders that we've received at the US is quite significant. So I think I'm just echoing what Sankar said is that we will see a trend of growing direct sales from our direct sales.
Sankar Das Gupta: I mean it is growing quite well. We have got two major teams running direct sales in the U.S.
Jeffrey Campbell: That's very helpful color, I appreciate that. First, I want to congratulate you on the recent descending motor e-bus [ph] and e-truck win. My question is, is the plan to concentrate on this opportunity exclusively for 2022 or do you plan discussions of any additional bus manufacturers at this time?
Sankar Das Gupta: We are in discussion with additional bus manufacturers. Everybody is positioning themselves as the market emerges. It's still a very small market, people are looking at the legislation which is happening. And I think all the bus manufacturers are positioning themselves. So yes, we are talking to a number of them.
Jeffrey Campbell: Okay, that's good to know. There's been some discussion about both the sales and a leasing model for your batteries. I wondered if we could get some color on your thoughts concerning these two possibilities and if they largely surround your OEM work or could that also -- could these two models be viable in the direct sales as well?
Richard Halka: I think at this point, I just mentioned that with the OEM they do offer leasing. So it is a solution for their customers and financed by them. And that certainly is attractive to quite a number of their customers. For the direct sales side at this stage, it's still something we're evaluating. There's a pretty major investment required for leasing and I think we're monitoring this. But at this point, I don't think in the very near term we're going to be looking at any leasing. I think there's third parties out there that we've worked with. If our customer wishes to lease that they can provide the financing. So at this stage, it's not on our priorities. 
Jeffrey Campbell: Okay. And my last question is, you referenced the shelf in the press release and I just wondered if -- and by the way, we certainly appreciated the 2022 guidance that came along with it. At a high level, can you just give us some ideas of if funds are raised where they might be invested, I mean I'm really just thinking manufacturing expansion or is there any M&A, your technology experience, I don't know if you want to point to inquire anyone, any color we can get would be helpful? 
Sankar Das Gupta: No, Jeffrey, we will be opportunistic. We see demand growing in the U.S. We have a very strong tie up with an OEM who is global and we just received I think, our first order in Australia. So funds will be used for growth. The other interesting thing is, as Richard had earlier said, we have been consistently running in the 30% to 35% gross margin. So when you're hitting something like a 27 million revenue, your bottom line is pretty good. So most of the funds -- so we are looking for growth and probably organic growth over M&A activities.
Richard Halka: And I think that it's also something we've alluded to in the past is that we are considering expansion into the U.S. with a facility there, but this is we're considering all the options on the table. But that's something that is attractive to us, and is certainly something that we're looking at very closely.
Jeffrey Campbell: Right, I appreciate the color and again congratulations on the quarter and we're looking forward to a good year in 2022.
Sankar Das Gupta: Thank you very much, Jeffrey.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over for any further closing comments.
Sankar Das Gupta: Well, that concludes our call. Thank you all for listening this morning. We look forward to speaking with you again after we report our fiscal first quarter results in the New Year. We wish you all the very best for a safe and happy holiday season. And best wishes for a Merry Christmas and a Happy New Year. Thank you.
Richard Halka: Thank you everyone.
Operator: Thank you. It does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.